Operator: Good day, and thank you for standing by. Welcome to the Q1 2025 EnerSys Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there'll be a question-and-answer session. [Operator Instructions] Please be advised today's conference is being recorded. I would now like to hand the conference over to your first speaker today, Lisa Hartman, VP of Investor Relation.
Lisa Hartman: Good morning, everyone. Thank you for joining us today to discuss EnerSys first quarter fiscal 2025 results. On the call with me today are David Shaffer, EnerSys' President and Chief Executive Officer; and Andrea Funk, EnerSys' Executive Vice President and Chief Financial Officer. Last evening, we published our first quarter 2025 results and filed our 10-K with the SEC, which are available on our website. We also posted slides that we will be referring during this call. The slides are available on the Presentations page within the Investor Relations section of our website. As a reminder, we will be presenting forward-looking statements on this call that are subject to uncertainties and changes in circumstances. Our actual results may differ materially from these forward-looking statements for a number of reasons. These statements are made only as of today. For a list of forward-looking statements and factors which could affect our future results, please refer to our current 10-K filed with the SEC. In addition, we will be presenting certain non-GAAP financial measures, particularly concerning our adjusted consolidated operating earnings performance, free cash flow, adjusted diluted earnings per share, and adjusted EBITDA, which excludes certain items. For an explanation of the differences between the GAAP and non-GAAP financial metrics, please see our company's Form 8-K, which includes our press release dated May 22, 2024. Now I'll turn the call over to Dave.
David Shaffer: Thank you, Lisa. And good morning. Please turn to slide four. In the first quarter of our new fiscal year, we delivered EPS at the midpoint and revenue slightly below the low end of our guidance range. Our balanced business portfolio price stickiness and disciplined OpEx spending is helping to mitigate uneven demand across key end markets. Gross margin was 28% and adjusted operating earnings were slightly lower than the prior year due to net volumes and mix headwinds, which were largely offset by cost improvements and increased IRA benefits. The current macro environment has influenced several of our customers towards more cautious spending patterns, which has created pockets of order delays for us, but we are not experiencing cancellations. Although some of the first quarter's market headwinds are expected to persist into our second quarter. We see promising demand indicators and positive momentum across our business for the second half of the fiscal year. We remain focused on what we can control, driving price mix improvements, optimizing our cost structure to flex through cycles, improving productivity through automation and flexibility and advancing our transformative strategic priorities such as our planned domestic lithium plant, our new fast charge and storage business, and accretive bolt on acquisitions like Bren-Tronics. Positive demand signals and opportunities combined with focused execution gives us optimism in our ability to deliver our full year financial projections. While overall orders were down slightly year-over-year, order rates improved over the course of the quarter. The quality of our backlog is healthy with the first sequential increase in Energy Systems backlog in eight quarters offset by seasonal declines in Motive Power and specialty. Andy will give detail on our first quarter fiscal 2025 performance and outlook, but I will first provide a few more highlights and business drivers behind the results. In Energy Systems sales were down compared to prior Q1, driven by declines in communications partially offset by robust data center demand where we see ongoing opportunities with our high discharge energy storage data center solutions. We believe our communications customers have more than worked through their inventory surpluses, and the deferred spending that is occurring is unsustainable to maintain network resiliency. We believe this has created pent up demand that we expect will begin to materialize throughout this fiscal year, with a pickup in quarter end orders pointing to the beginning of a recovery now being underway. In the quarter, Energy Systems achieved $7 million of sequential cost savings as a result of the significant cost improvement actions we implemented over the past two quarters. However, these savings were masked by lower sales with a weaker product mix, particularly from delayed customer spending on high margin power electronics. As a result, we only saw a modest sequential improvement flow through to adjusted operating earnings in Q1. We expect full visibility of these actions in the second quarters as volumes begin to pick up. We also conducted another round of price increases across the business, reset contracts and adjusted tier pricing to contractors. Q1 book-to-bill in energy systems was favorable at greater than one driven by North America Communications at 1.09. We exited the quarter seeing encouraging order trends in Telco, but expect broadband recovery to be a second half fiscal 2025 story based on current backlog orders and project flows. Motive Power was a bright spot, with volumes and margins increasing versus the prior year, driven by consistent customer demand in logistics and warehousing, and continued customer enthusiasm over our higher margin, proprietary maintenance free offerings. Customers are adopting our higher energy dense solutions that provide them with longer term cost savings through operational efficiency, lower labor costs, and lower water and energy usage compared to traditional batteries and chargers. Our maintenance free solutions have grown to 24% of total Motive Power sales in Q1 versus 19% in the prior year. Industry data supports our expectations of mid and long-term expansion. For example, a leading industry association's confidence index shows current conditions during the second quarter of 2024 improved versus last quarter and the future conditions index grew well above the threshold indicative of expansionary conditions. Our backlog remains well above pre pandemic levels, although we saw a slight reduction in backlog with book-to-bill at 0.9 on summer month seasonality and some advanced orders in Q4 after an announced price increase. In Specialty, revenue and adjusted operating earnings in the quarter were down, with performance impacted by a dramatic softening of activity in the broader Class 8 truck OEM market not specific to EnerSys. Our customers, both OEM and fleets are indicating that volume should increase in the back half of our fiscal year as shipping tonnage rebounds in the California Air Resources Board CARB 27 deadline approaches. Aerospace and Defense demand remains strong with a solid order backlog and several aerospace and defense opportunities in the pipeline. Our A&D [ph] business will of course be further bolstered by our recently closed acquisition of Bren-Tronics. Adjusted operating earnings were impacted by the drop in Class 8 OEM volumes and increased costs related to under absorption in our plants, also resulting from the lower communications and transportation volumes. Despite the timing of the resumption of Class 8 orders, we have a significant opportunity in front of us with transportation through our trucking aftermarket channels in the premium automotive market with our retail and aftermarket partners. We are actively working with these customers and building the necessary inventory to achieve the required service levels with the appropriate product mixed, which will enable us to accept higher margin business. We expect this ramp to begin in the second half of our fiscal year. As discussed last quarter, our Missouri plant's output is improving and we will begin to install new lines that will afford us increased and more flexible production capacity in the fall. The incremental volume with better cost absorption will further drive earnings expansions on top of the accretive impact of Bren-Tronics. In our new ventures line of business, we are in the final testing phase of our first commercial ready, fast charging storage system, which we are prepping for delivery to our launch customer site in Canada in the coming weeks. Please turn to slide 5. The team is making exciting progress on our strategic priorities. Let me share some of the highlights from our first quarter, starting with Innovate. In our mode of power products, we are preparing to launch our NexSys 48 Volt heavy duty lithium batteries and we received our first order for two units. We also received our first orders for 22 NexSys outdoor chargers this quarter. This product has the opportunity to be a game changer as customers convert from internal combustion to electric lift trucks in outdoor applications. With regulations such as CARB, which aim to phase out gas powered forklifts in favor of zero emission technologies, the shift to electric forklifts is becoming increasingly significant. In Energy Systems, our DPX Outdoor Fault Managed Power Supply received a critical UL certification and we are leading the industry by being the first company to receive certification for a Class 4 Outside Plant Solution. We continue to focus on optimizing the business as well. As we mentioned last quarter, we have taken specific actions to improve performance and efficiency, particularly in Energy Systems. We have optimized our footprint and organization, conducted targeted restructuring, invested in high speed flexible production capacity, and streamlined our operations. We are continuing to advance on our TPPL manufacturing flexibility initiatives in Missouri, yielding further productivity improvements in the quarter, and are focused on scrap rates, assembly performance, and sign-up execution, driving a nearly $100 million reduction in inventory versus prior year on top of operational cost improvements. Our investments in production flexibility remain on track for completion in the second half of the fiscal year. And accelerating, we continue to advance on the development of our lithium-ion cell gigafactory. We are formalizing our collaborative relationship with Verkor, making investments to support their growth, and progressing on the key agreements which will support our factory operations. We recently met with the U.S. Department of Energy to review our application for additional funding for our plant. We look forward to learning the results of these funding allocations, which are expected to be announced in the coming weeks. At that point, we will share with you the full project budget and timeline. We've updated our model to include the recent tariff announcements, which has further solidified our make versus buy justification. Please turn to slide six. On July 26th, we were pleased to announce closing our acquisition of Bren-Tronics and to welcome the team into EnerSys. This acquisition, which expands our presence in critical defense applications, broads our lithium product offerings, strengthens our product development capabilities, provides incremental growth opportunities, and is immediately accretive to earnings. As previously disclosed in calendar year 2023, Bren-Tronics generated approximately 100 million of sales with EBITDA margins around 25%. We're implementing a detailed integration plan that has been developed over the past several months with a dedicated cross-functional team from both EnerSys and Bren-Tronics. Our priority is to ensure minimal disruption commercially and operationally while we rapidly execute corporate and back office integration. Please turn to slide seven. On the governance front, last week we held our annual shareholder meeting where our stockholders selected two new members of our board, Mr. David Habiger and Ms. Lauren Knausenberger. David is the CEO of J.D. Power, a provider of data analytics, software, and consumer intelligence. David has a demonstrated history of driving change within industry-led security protocols globally. Lauren is the Executive VP and Chief Innovation Officer at FAIC, a provider of engineering, digital, artificial intelligence, and mission solutions across the defense, space, civilian, and intelligence markets. Lauren is a globally recognized thought leader and change agent in technology, digital modernization, and cybersecurity. I am pleased to welcome David and Lauren to our board of directors whose expertise and skill sets are well matched to our industrial technology transformation. It is with sincere thanks and deep gratitude that we save farewell to long-standing board members Art Katsaros, our chairman for the past eight years, General Robert Magnus and Hwan Chung. We truly appreciate their commitment in 53 collective years of dedicated service. And we congratulate Paul Tufano, our new board chair. I will now turn it over to Andy to take you through our results and outlook in greater detail. Andy?
Andrea Funk: Thanks, Dave. Please turn to slide nine. First quarter net sales of $853 million were down 6% from prior year, driven by a 3% decrease in volume due to the temporary market headwinds in communications and Class 8 OEM markets that Dave discussed, as well as 2% price mix pressure from lower proportionate sales of higher-margin power electronics and an FX headwind of 1%. We achieved adjusted gross profit of $238 million, down $5 million year-in-year, including a little over $30 million of IRA benefits booked as a reduction to cost of goods sold in the quarter. Q1 adjusted gross margin improved by 120 basis points versus prior year to 28% due to higher IRA benefits. As you may recall, in the third quarter of fiscal year 2024, we validated an expansion of our batteries that qualify for IRA credits. Excluding the IRA benefits, adjusted gross margin was down a little over 50 basis points year-over-year due to the impact of lower proportionate power electronic sales that I just mentioned. Our adjusted operating earnings were $106 million in the quarter, slightly lower than in the prior year, with an adjusted operating margin of 12.4%. Excluding the IRA benefits, adjusted operating margin declined a little over 100 basis points year-on-year. This decline is attributable to the temporary softness in the communications and Class 8 OEM end markets, net of cost improvements Dave mentioned earlier. Adjusted EBITDA with $121 million, a slight decrease of approximately $1 million versus prior year, while adjusted EBITDA margin was 14.2%, up 70 basis points versus prior year on the expanded IRA benefits. In line with our guidance range, adjusted EPS for the first quarter with $1.98 per share, an increase of 5% over prior year. Excluding the IRA benefits, adjusted EPS was down over 15% versus the prior year. In the first quarter of fiscal 2025, our effective tax rate was 11.6% on an as reported basis, and 20.8% on an as adjusted basis before the benefit of the IRA, compared to 17.6% in Q124. Let me now provide details by segment. Please turn to slide 10. In the first quarter, Energy Systems revenue declined 15% from prior year to $361 million, primarily driven by the lower volumes and price mix pressure previously mentioned on top of FX headwind. Adjusted operating earnings of $19 million improved sequentially on lower revenue, as we saw the benefits of our cost reduction efforts, but were $11 million lower than prior year on the soft market conditions. Adjusted operating margin of 5.3% was up 60 basis points sequentially, but decreased 170 basis points versus the prior year. We are beginning to see favorable signals in key energy systems and markets, with increasing order trends giving us optimism for sequential improvement throughout the end of the fiscal year. Please turn to slide 11. Versus prior year, Motive Power revenues increased 4% to $366 million on a 6% volume increase, partially offset by price mix and FX. The reduction in price mix is due to the elimination of a zero margin utility adder that was in place last fiscal year when European utility costs had spiked. Motive Power again reported strong adjusted operating earnings this quarter, contributing $56 million, up 11% over prior year. Adjusted operating margins were near record highs at 15.3%, up 90 basis points versus Q124. Despite mixed macro signals, we remain optimistic about the growth opportunities in Motive Power as we introduce new customer solutions, the overall demand trends remain healthy, and our proprietary maintenance free products continue to support our customers' growing needs for automation, electrification, and decarbonization solutions. Please turn to slide 12. Specialty revenue decreased 6% from prior year to $126 million on 3% lower volume and a 3% reduction in price mix. Q1 2025 adjusted operating earnings of $4.9 million were half of prior years’ AOE, with adjusted operating margin of 3.9% down 350 basis points. As Dave mentioned, margins in this business were pressured by the impact of lower Class 8 OEM transportation volumes and the impact of under-absorption in our Missouri plants. We made progress in our Missouri Factory Operations performance during the quarter and have lined a site to continue to improvement this fiscal year, which will be more visible when communications and transportation volumes pick up and we're able to enjoy better absorption of our plant overhead class. Although Class 8 OEM transportation demand weakened this quarter, given the significant incremental transportation aftermarket opportunities and broad strength of A&D end markets, combined with enhanced high-speed flexible capacity expansion we anticipate in the coming quarters, we remain optimistic about our opportunities and specialty. On July 26, we closed the acquisition of Bren-Tronics, which is adding profitable growth to our existing business and we will discuss the impact of the acquisition further as part of our guidance. Please turn to slide 13. Operating cash flow in the quarter was a positive $10 million with primary operating capital increasing slightly on transportation inventory builds to prepare us to take on aftermarket demand in the second half of the year. Receivables were again a positive as we focus on collections. Operating cash flow also absorbed normal year-end variable compensation, rebates, and incentives payout as is typical in our first fiscal quarter. As noted last quarter, the full benefit of the IRA credits will not have the full positive impact on our cash flow until our fiscal year 2024 tax filings are finalized and we receive our first 45X expected tax refund from the IRA of approximately $100 million near the end of fiscal 2025. Lower operating cash flow from typical year-end payouts and delayed IRA monetization combined with elevated CapEx of $36 million including approximately $9 million from the purchase of land in South Carolina for our plan's lithium plant resulted in negative adjusted free cash flow conversion during the quarter. As of June 30th, 2024 we had $344 million of cash and cash equivalents and our net debt of $565 million represented a reduction of approximately $125 million from prior year. Our credit agreement leverage ratio was 1.1 times EBITDA. Our balance sheet remains strong and positions us to invest in growth and navigate the current economic environment. Note that although we incurred approximately $200 million of cash outlay for the Bren-Tronic’s acquisition in the second quarter, we anticipate our net leverage will remain well below the low end of our 2-3 times target range providing us with ample dry powder for our capital allocation decision. Please turn to slide 14. During the first quarter, we paid $9 million in dividends and repurchased approximately $12 million in shares. We currently have approximately $121 million remaining in our buyback authorization. During the quarter, we funded our investment of $11 million in Verkor's Series C fund [ph] and made our initial milestone payment per our prototype agreement in July. We continue to screen for additional attractive bull-tone acquisition opportunities like Bren-Tronics which meet our discipline, strategic, and financial criteria. Please turn to slide 15. Our board of directors recently approved an increase in our quarterly dividend to $0.24 per share up from $0.225 per share. As part of our discipline capital allocation strategy, we are committed to a competitive dividend that grows with earnings excluding IRA benefits over time. We have ample room in our balance sheet to remain flexible to meet our business needs and we will continue to allocate capital with the goal of delivering optimal returns to our shareholders. Please turn to slide 16. We remain optimistic about the trajectory of our business and are particularly pleased with our continued ability to maintain pricing. While mixed market dynamics remain, we are seeing positive demand indicators and are pursuing incremental market opportunities. In addition, we have taken substantial actions to improve our overall margin profile and are beginning to see the benefits of these actions and our financial results. As a result, we remain cautiously optimistic in our fiscal year 2025 financial targets and are increasing the midpoint of our full-year fiscal 2025 revenue guidance by $60 million and our full-year fiscal 2025 adjusted diluted earnings per share guidance by $0.25 per share to include the incremental benefits of our acquisition of Bren-Tronics on top of the base business expectations that were in our previous guidance. Our fiscal second quarter 2025 guidance range is $880 million to $920 million of net sales with adjusted diluted EPS of $2.05 to $2.15 per share. Our guidance anticipates a modest sequential improvement in North America communication spending and energy systems, modest transportation aftermarket growth and specialty, and incremental revenue and earnings from Bren-Tronics. Our fiscal year 2025 guidance range is now $3,735 million to $3,885 million of net sales, up from prior guidance of $3,675 million to $3,825 million. Adjusted diluted EPS is now $8.80 to $9.20 per share, up from prior guidance of $8.55 to $8.95 per share, and with a pre-IRA tax rate of 20% to 21%. Our CapEx expectations for the full-year fiscal 2025 remains in the range of $100 million to $120 million. This does not reflect significant additional spending on our planned domestic lithium plant. We plan to provide an update on the status of the plant and impact to our fiscal 2025 expectations later this quarter. In summary, we are confident that the foundation we have put in place, coupled with the investments we have made in our transformation, will deliver accelerating financial returns. The global concern over Energy scarcity will persist as major trends drive a swift rise in the demand for reliable power. As a key provider of energy systems and storage solutions, EnerSys is well positioned to take advantage of this growth opportunity. We remain focused on delivering long-term value to our stockholders. With this, let's open it up for questions. Operator?
Operator: Thank you. [Operator Instructions] Our first question comes from a line of Noah Kaye of Oppenheimer and Company. Your line is now open.
Noah Kaye: Good morning. Thanks for taking the question. I hope everyone is doing well. We continue to appreciate the full year guidance. I have a related question to that. Just around the back half growth expectations, and I think you were going through some of it in the assumptions on slide 16. But at the midpoint of guide, it's roughly a $300 million step up in revenue from the first half to the second half. I'm just curious to understand how you think about bridging that. We should have something like, I guess, a $25 million tailwind first half versus second half from Bren-Tronics, having that for the full half, maybe some SCNS [ph] revenues. But what are the main drivers to consider that drive that step up? It sounds like a lot of it might come in Specialty.
David Shaffer: Well, that's some of it, Noah. This is David. Good morning. I would say it's ES Recovery. It certainly is part of that. And I'll let Andy kind of add some dimensions here and a minute until she gets organized. The specialty piece and then continued stability in our Motive Power businesses really are the main pieces that buttress that. Andy, do you want to dimension that for Noah?
Andrea Funk: Yes. Good morning, Noah. Nice to hear your voice. We'll be carved out the Bren-Tronics separately, so you do see. And really, I want to go through each one of the lines of business. I'll give you a little bit of color. Energy systems, we see increasing demand throughout the balance of the year. It's going to be driven by improvements in wireless that we're seeing mostly and some further margin expansion from power electronics, as well as strength and data centers. So that's slow in studies, similar to last quarter, except that we are now seeing the robustness coming in in the order book where we hadn't been seeing that previously. In Motive Power, we'll have the normal second quarter seasonality pressure, particularly in EMEA on the holidays, but we are seeing some strong order and quote activity, which gives us optimism. We expect to continue to benefit from the Motive Power conversions and some NPIs like wireless and outdoor chargers, but the lithium add-on will show a little bit of exaggerated volume and some pressure on price mix. In Specialty, second quarter is seasonally lower. We'll benefit from about one month of the creative impact of Bren-Tronics. We cautiously building that in because obviously there's some transition-related activity that'll happen when you first bring them into our fold, but things are going really well there. We don't see material growth in the aftermarket or premium auto picking up until the second half. Industry data and some customer feedback, the upcoming CARB regulations that Dave mentioned, they all give us the optimism that the Class 8 OEM pause is temporary, but we do believe we'll be able to take on additional aftermarket volume when we've got the right inventory on the shelf and when our Missouri plant expansion is complete, which is really a second half of the your story. The additional capacity is going to give us flexibility at lower costs through automation and enable better full plant cost absorption, but that's really going to be late in this fiscal year. We expect some fast-charge and storage incremental revenue and to get some OpEx leverage, mostly on those aggressive actions that [Indiscernible] took in place, but offset by some of the fast-charge and storage additional spending as we ramp. IRA remains $120 million to $160 million per year and as we mentioned, tax rates. A little bit higher, 20% to 21% in line with Q1, but higher than fiscal 24 on discreet geography of earnings and really the impact of the global minimum tax. Hope that helps.
Noah Kaye: Very comprehensive and helpful. Thanks. Maybe just a bit more color on where within ES you're seeing that pickup in order. You mentioned wireless, but wondering if it's primarily the traditional macro base station type, powering opportunity, anything in small cell. You just sort of characterize it. You pointed out a couple of times with prepared remarks, and even just now when you get the power electronics coming back in, really strong leverage expected on that. Is that mostly a back half story in your view?
David Shaffer: Right. I would say let's talk about it in a little different slice. Really, whether it's hybrid fiber collection networks or wireless networks, the things that we see is there's network expansion projects and investment opportunities, and then there's network resiliency investments. What we're seeing come back across both sides, wireless and the HFC networks, is the resiliency spending. We noted to you that you can only defer that for so long. That's the first piece to have come back. I would say wireless resiliency has come back first. We're starting to see some really good momentum building in the HFC network resiliency investments. Then in terms of the projects and the capacity expansions, we have ongoing dialogues in private networks, small cell projects, any number of projects. That is the piece that really has acutely slowed down relative to that momentum we had during a year or so ago. The resiliency piece, which again, similar to Motive Power, it's that replacement. It really helps to buttress us when the expansion and the new activity slows down a little bit. That's where it's come back the most. In terms of small cell projects, a lot of dialogue, but no real revenue drivers for me to talk to you about yet, but certainly many projects afoot.
Andrea Funk: Yes, I know I can add a little bit more color. This was the first time that our backlog increased in eight quarters. America Telco [ph] brought in book-to-bill with 1.09 in the quarter. Our July book-to-bill in America was 1.1. Last quarter, we said this was kind of the wild card and still the pace of the recovery is a little uncertain, but we said last quarter we weren't seeing it in our order book. Right now, we are starting to see it in our order book, so we're cautiously optimistic. Very proud of the aggressive bold actions that Sean took to improve the overall margin of ES, both in the peaks and valleys, and we feel very confident that we're going to be getting to 8% to 10% in the down cycle, not quite there yet, but we're confident that's in reach. Even on 8 million drop in revenue sequentially, we did have a 60-bip improvement. We're a little disappointed. You didn't see the full 7 million cost improvements because it was massed with the volume recovery and further mix pressure. But just to give you a perspective as Dave's mentioning, XM orders in the month of July were higher than the entire Q1. XMs, as you know, are one of our proprietary power electronics products. Q1 represented the lowest revenue of these products in eight years, so even before the alpha acquisition. This wasn't just, I would say, the low end of a cycle. We really believe this was the trough.
David Shaffer: I think that, again, gets into that resiliency investment we're talking about, and these kind of expenses can only be deferred for so long. It's a perfect example. And I would say in our Q1, that's probably the piece that surprised us the most, given, as Andy just noted, when we build our forecast out, that was the lowest revenue on that skew in eight years. It was a crazy quarter in that sense. But you can only defer this for so long. The outlook has improved dramatically, and we're cautiously optimistic about the second half.
Noah Kaye: I really appreciate the detail and transparency here. I'll take all my additional questions offline. Thanks.
David Shaffer: Thanks, Noah.
Andrea Funk: Thanks, Noah.
Operator: Thank you. The question for our next speaker, sorry, the next question is going to be for Greg Lewis from BTIG. Your line is now open.
Gregory Lewis: Yes, hi. Thank you, and good morning, and thanks for taking my questions. Andy, when you kind of just go real quick on the guidance, I think in your prepared remarks, you were talking a little bit about maybe opportunities in North America in Motive and Energy Systems to kind of recover here in the second half. Any kind of, as we think about the guidance, in any way or how should we be thinking about the kind of trajectories in Asia and Europe? Is that similar, or do we have kind of a different macro outlook for those two more Aries?
David Shaffer: Greg, I'll start and let Andy get a little organized here. But in terms of the regional look, I would say that Asia and Europe have been a better news story the last couple of quarters, and we've seen some stability in both those regions. And the outlook, I guess, for Asia is pretty good based on some of the numbers I've seen. For us, as you know, it's really not big enough to drive major changes in the overall performance of the business. But I would say there's regional stability. It's the America's piece that was probably a little bit slower, but as it relates to Motive specifically, I would say the feedback we're getting from both our channel and our sales folks is continued to be positive. And a lot of the electrification projects that are afoot, we mentioned the new outdoor chargers, which allows us to push electric fork trucks even into new different applications. These are a lot of the key momentum that we're building, and of course the maintenance free conversions. Andy?
Andrea Funk: Yes, I can give you a little bit more color just by geography, if that's helpful, Greg, and nice to hear your voice as well. We typically in EMEA have a little bit of a step back going into the second quarter, as you know, on the summer holidays. But if I look year-on-year, there's a little bit of top-line growth. We took out the utility adder that we mentioned, but from a profitability standpoint, they're, more than 2X of their operating earnings that they were. So doing really well there. I think Chad's doing a lot of things on his motive power value selling that we've done in the Americas, bringing that into rest of the world. And Sean's certainly looking at kind of globalization of ways that we can look at, you know, things like data centers globally and telecom customers taking similar approaches and similar sales strategies. APAC tends to be a smaller region for us, but we've really focused there on de-risking and finding ways that we can use our plant to benefit, like, in region sourcing. And so it's overall going well. America tends to be our biggest piece of the business. That's why we focus on that and certainly the most profitable.
Gregory Lewis: No doubt. And then thank you for that. And then I did want to touch on data centers. I mean, clearly there's a, data center mega trend happening. The ENS is kind of all we've provided backup power to data centers. I guess what I'm trying to figure out is, it's in the news a lot. These are multi-year projects. And so I guess what I'm kind of curious about is, as the ENS has been booking data center work for the last, I don't know how we, a couple quarters, I don't know if you can talk about it a year, a couple quarters, however you want to kind of frame it up here. Could you talk about maybe that rate of change now, and then, if I'm building a data center and I'm talking to ENS in the summer of 2024 for an opportunity like that, when does the ENS really start realizing revenue from, that data center contract that you win to provide power, I guess in Q3 of 24?
David Shaffer: Right. Well, at a high level, data centers is obviously a great market for us, and it crosses both our traditional product ranges as well as into our TPPL range. And the, I would say, and it varies, Greg, by product type, but I would say that my best guess is that we have about a six month notice at best when it comes to a new opportunity. So I can, and I'll have Lisa or Charlotte circle back with you after I, you know, we'll talk to Sean and make sure that that is the right number. But when I was back doing that, it's been a few years, it was about a six month heads up. We, you would start to see it in our order book, and then depending on the product type, maybe a six to eight week lead time after that. So that's sort of that advanced, that's about as advanced notices we would probably see. And I noticed then in the news and we're getting feedback from our customers. There's tons of growth and opportunities. There's been some supply chain issues, not with batteries or not necessarily EnerSys, but just in general there's been some projects that we've heard about that are getting delayed for various construction regions or architectural steel. So it's never smooth. There's always a little bit of choppiness in any quarters, but the key underlying demand drivers for data centers continues to be a very, very big bright spot for us. Historically though, it's just the revenue-wise, it's not been, it wasn't big enough to offset the slowdown we saw in the communications piece. But it's been a very good growth story for us.
Andrea Funk: Yes, and Greg, just to provide a little color, Q1 was up about 5% in data centers, and I think we've got a little more opportunity, but our full year, we're projecting to be up double digits, well over double digits. And keep in mind there's a few things. So, our batteries are the last item to be purchased for the new data center. So there's a little bit of this, delay as Dave was mentioning, but it's a great product. We're continuing to look at both NPIs as well as potential bolt-on acquisitions, considering the valuations, making sure that we're not buying at the peak. But on top of that, just this explosive AI and data center growth impacts our communications market, the last mile delivery. We know that's going to impact that network resiliency and build-out that Dave spoke about. And also grid pressure, which provides more of an opportunity in the future for our BESS and our new Ventures land business and the importance of that. So this kind of is the whole story of EnerSys and why we're so well positioned for the long-term.
David Shaffer: Yes, and Greg, I don't know if you started using this AI, some of these products, but it's mind-blowing what it can do. It really, it's a little frightening, but it's really exciting.
Gregory Lewis: No doubt. Thank you for the time. Have a great day.
Andrea Funk: Thanks, you too, Greg.
Operator: Thank you. [Operator Instructions] The next question that we have comes from the line of Brian Drab from William & Blair. Your line is now open, Brian.
Brian Drab: Okay, thank you. I just wanted to see if we could talk a little bit more about the lithium business, the lithium plant, and I'm just thinking about the timing of some of these things. So I know that you've got this exciting opportunity in the fast charging and storage, hoping to get that business into the $400 million to $700 million revenue range by fiscal 27, which is basically calendar 26, which is really not that far away all of a sudden. And how do you think about getting the lithium cells that you need for that opportunity, building this lithium plant? You've also got these lithium ion cell tariffs that are increasing 25% in 2026. So, I mean, Dave, if you could just go through some of the planning steps and the timeline and talk about the risk to getting up to volume production when you want to.
David Shaffer: Right. Well, the key for us and what we've tried to do is to do as much as we can to hit the starting line at full speed. So that's been the intense focus without overly committing anything until we have the final look as to what we think potentially a grant from the Department of Energy would contribute to the business plan. So that's why we haven't given you more detail yet as we await to see how that's going to work out. But, Andy mentioned that we bought some land down in Greenville, South Carolina. We've been working very hard with Verkor on the new prototype line for the Grenoble factory to get everything running in debug there for our particular cell design. The engineers have been very busy. We've done the environmental site assessments. We've gone out, we've hired or identified general contractors, architects, environmental support companies. Andy and I were in DC in July. We had a very productive meeting with the Department of Energy and we hoped to hear something in the coming weeks. And so we're doing as much as we can without -- as we prepare, we started the staff, some leadership, key leadership positions. We brought in a leader who's had experience both in Europe and in South Carolina, a specific experience building lithium ion factories. So we've been very, very busy. And then in terms of the timeline, Andy, do you want to kind of give some of the dimensions on spending and timelines?
Andrea Funk: Yes, I'd say, Brian, you brought up a really important point. The tariffs and other model assumptions, but the 25% tariffs coming out of China. We factored that into our model. We're working with the strategy group out of Europe who's done other lithium plant startups to really tighten and refine our model. And it's becoming all that more exciting and compelling that this is -- this looks like a really good opportunity for EnerSys. I think one of the things we're considering is if we're fortunate enough to get the -- to be a steward of the DOE's investment, we would make adjustments to the plant to be able to meet their requirements. And if we don't, we'd probably have to make adjustments so that it would -- we wouldn't have to incur those extra costs. So that's what we're really assessing. And our goal is, as soon as we find out whether we get this grant, that we would provide timelines and budgets and share with everyone, we're very excited about what this opportunity is. And you're right. A big chunk, the difference for us versus other lithium plant startups, and I think you're aware of this, but perhaps other new investors to our story might not be, we don't need aggressive offtake agreements. We will be our only customer of the output, with fast charge and storage would be a big portion of where some of the lithium cells would go.
David Shaffer: Right. But there's plenty of new products. There's product catalyzation. There's ample opportunities to load the factory. We've just been a little hesitant to outline the final budget and timing as Andy noted until we know the full scope of what the requirements are for the DOE grant. And once that's ironed out, then we will -- and I think we're weeks away.
Brian Drab: Okay. Okay. Thanks. And I'll just ask one more small question for right now. I just want to ask a good point of clarity on the guidance. So the $60 million increase in revenue, is that specifically and only associated with Bren-Tronics? Because I'm just thinking about Bren-Tronics was $100 million in revenue approximately in 2023. And if I do $60 million and it's going to contribute for eight months, it seems to imply that Bren-Tronics revenue would be like $90 million in this fiscal year. And I just wondering if there's an explanation of that discrepancy or Bren-Tronics revenue is down a little or any thoughts there? Thanks.
Andrea Funk: Yes. No, we're very bullied, very excited about Bren-Tronics. As you can imagine, part of my job, Brian, is to make sure we're conservative when there's uncertainty. So it's a new company. We kind of discounted June -- July and August, we bought it mid-July, end of July, and we discounted August because there's a transition with any acquisition. There's usually a little bit of pull-in. We had a full week for the physical inventory. It's the first time they had done a physical inventory. It went extremely well. The culture, the management team, the mindset, the results were all very strong. But you never know fully, and so we've intentionally been a little bit on the conservative side. There's a little bit of seasonality as well. Q4, Q1 tend to be a little bit stronger. So we know that Q2 and Q2 and Q3 are probably going to be the lighter revenue just on a historic basis for them. And so we have it ramping up into the fourth quarter.
David Shaffer: And you and I are headed over there next week, Andy?
Andrea Funk: Yes, we're going to do a little, I think it's August 21st is the one we're going to be there to do a celebration. We had Mark and his team were on site. The day of close, it's a great team. It's just a tremendous fit. Very excited about the autumn.
David Shaffer: It's been a great start. So we couldn't be more excited.
Brian Drab: Yes, that all makes sense. Thanks a lot.
David Shaffer: Thank you.
Operator: Thank you. Our next question comes from a line of Greg Wasikowski from Webber Research & Advisory. Your line is now open.
Greg Wasikowski: Hey, good morning, David and Andy. Just to put a finer point on that last question, is there any other puts and takes with the 25 guidance moves? So maybe to ask another way, in the absence of Bren-Tronix, do you think that there'd be any guidance shifts for FY25 or be more or less the same?
Andrea Funk: Yes, I think this early in on the fiscal year, we still have confidence in our full-year guidance. So we didn't make any changes to our underlying base. I mean, we might have done a little shifting internally, but overall, we still have cautious optimism in being able to hit our full-year number. I think we're looking at the news just like everyone else is, and obviously it's an election year. There's a lot of things going on. But we look internally at our signals and our order book is looking good. Mode of power, for example, just to give you a little bit of color. Our backlog coverage is still 50% higher than pre-pandemic levels. In Q1, our book-to-bill was 0.9, a little bit below 1. So was that reason for concern? About half of that was seasonality. Half was orders that were pulled in advance of a $3.31 price increase. First week of August, we had a 1.4 book-to-bill. So overall, it just feels very healthy to us. So as is everyone on the street, we're trying to be very alert to look for any signals. And overall, we're feeling pretty good.
David Shaffer: And I'd say the keen focus for me and our leadership is on pricing and cost control right now with some of this macro uncertainty. So there's reason to be cautiously optimistic about the EPS, even if the top line has some issues with some of these macro uncertainties. But there's an intense focus on our part for pricing and cost control.
Greg Wasikowski: Understood. Okay, thanks guys. And then I always like to ask about the fast charging product. So Dave, could you characterize the backlog there, how that's developed in the past couple quarters, and how demand is trending, and then any updated thoughts on crossing into other business lines as well?
David Shaffer: All excellent questions. So the customer is at site right now at the factory, signing off on the first unit. The first unit's always take a little longer. Then I would say the initial focus with the customer is on the first five units, which will be installed this quarter. And the progress is in handy. Unless something changed the last couple of days, that's the last data point I'm working with. But then really at that point, our initial launch customer is going to start to freshen what their site identification are in layer. And so I don't want to say we're in a hold with our launch customer. We're just, they want to make sure, as I would in their shoes, to make sure everything's running smoothly and as planned. And then they've already identified, as we've mentioned to you prior, there's literally hundreds of sites that they've identified that they want to bring this project into. In addition to our launch customer, I would say the opportunity in quoting has been very bullish. And there's a tremendous amount of excitement. I think what makes us unique is, and what our team has done an exceptional job with, is these underlying energy management benefits of using energy more efficiently, nighttime versus daytime, with and without renewable sources. It's the integration of the DC to DC fast chargers, which really makes our product unique. So that's what drawing a lot of attention to this. So a lot of positive momentum. The engineering piece, the oil testing, customer acceptance, knock on the wood, everything's moving. And we should see more clarity from our customer and launch customer in a release of more orders as we get through this first phase.
Andrea Funk: Yes, I mean, I think that the exciting as our customer remains very enthusiastic. It's just a ramp for these types of products can be a little choppy. So, we do need to make sure that the units get delivered, they get the permitting. And so, we've it's contemplated in our revenue range as far as, when we'll actually be booking the revenue.
Greg Wasikowski: Yes, that makes sense. Do you think that is it fair to say that the pipeline is maybe on hold a little bit just in terms of actual conversion to customer, right? To kind of waiting for this first chunk of units to be operational out in the field. Is that fair to say?
David Shaffer: No, I'd say the way the way to characterize it with our initial launch customer, let's say they've identified literally hundreds of sites, but in terms of them releasing purchase orders to us for those sites they've identified, that piece is on hold until we get through this early validation phase. And once they get comfortable that everything's working as planned and we're hitting the marks, they're going to start to release more sites to us, which will start to show up in our backlog. So I don't want to, but from an overall perspective in terms of pipeline, I would say we are actively and very busy on creating new opportunities beyond our initial launch customer.
Greg Wasikowski: Got it. Okay. All right. Thanks for your time today, guys. Thank you.
David Shaffer: Thank you.
Andrea Funk: Thank you, Greg.
Operator: This concludes the question-and-answer session. I would now like to turn the call back over to Dave Shaffer for closing remarks.
David Shaffer: Thanks, Haley. And I want to thank everybody for your interest in EnerSys today. And we look forward to doing this again in 90 days. Have a good day.
Operator: Thank you. Thank you for participating in today's conference. This does conclude the program. You may now disconnect.